Stuart Chambers: Okay. Good morning, everyone and a warm welcome to Anglo American's 2022 Half Year Results. For those of you who I have not met either here or on the cast, I'm Stuart Chambers, the Anglo American Chairman and I'm delighted to be meeting some of you at least in person here today. But of course, a warm welcome to all those on the phone and webcast. I'm also very pleased today to be joined by Duncan Wanblad, our Chief Executive at his first results presentation, since being appointed earlier this year at the AGM in April. You would have seen our numbers that have gone out earlier this morning. And whilst this is our second best ever financial half year performance I think internally, we all believe we could have done even better and there is room for improvement and both operationally and in other areas in the second half. And I'm sure if you're interested, Duncan will expand on that later in this session. Now as we all know, the macro environment is most certainly more challenging now than it was even six months ago. Nonetheless, the business is well set up and we certainly view the medium- and long-term outlook prospects for mine products to be remaining very favorable indeed. It's particularly pleasing to have commissioned on time and budget, our Quellaveco copper project and of course look forward with confidence to ramping that up to full production levels as we go forward. The dividend announcement was in line with our 40% payout policy and hopefully, in line with expectations. Finally, I won't go through the Board changes, since I last spoke to you, there are several of them because you can see those for yourself. They're laid out on Page 18 of the press release. So with that, I'll hand over to Duncan and Stephen our CFO, starting with Duncan.
Duncan Wanblad: Thanks, Stuart and good morning, everybody. Very nice to see you all here, those that braved the tube strike to get here. Very welcome. Right behind me is the customary cautionary statement, which I'm sure that you will take time to read in your own time please. I guess you'll be familiar now with the way we do these things. I'm going to give you an overview of our first half performance. Stephen is then going to step in and take us through the numbers in some detail. And then I'm going to come back and talk a little bit about how we're positioning the business for the longer-term. Now they say that timing is everything, right? And it's really been a pretty busy three months for me since I took up the role in terms of what's going on in the world today. And for my part, I've invested a lot of time now, engaging with the leaders that we have in the business, our employees across Anglo American, many of our shareholders our stakeholders, our business partners. And through all of that, I've distilled what I believe are our short-term key priorities for the business and those of them that you see on the slide behind me now. So safety, stability, sustainability and growth. So safety absolutely comes first. It's absolutely the most important priority that I have in this business. And it is of course tied to the stability of how we run the business. So good production, generally leads to good safety. Uneven production leads to uneven safety results. And we absolutely have to ensure that our operating platform is stable and that we work in a better and a planned way to keep our people safe. So the business is really focused on doing that and getting that right now. It is clear that over the last two years, we've had to adjust many of our operating routines, all for the right reasons I might add, in terms of managing COVID and the huge amount of absenteeism that we saw and rotation that we saw over the last two years. But we're now working out how to adapt ourselves to that and looking at that sort of operating methodology as a new normal. These changes have of course affected our safety performance. And as I said, we're addressing that. And we've now also had to take a little bit of time to adjust some of the processes and the work routines that underpin our operating model. Following on from that, we are continuing to build out on our sustainability ambitions. This includes delivering the projects that we have underway as part of our sustainable mining plan. This includes renewable energy across our operations, biodiversity, water management, the Social Way implementation. And it's all about putting a greater definition now to the pathways to operational carbon neutrality and then executing on those plans as we crystallize them. Lastly growth, delivering our very strong pipeline of organic growth projects. On that front, I think it's great to have achieved the milestone that Stuart mentioned a little bit earlier. We're now a couple of weeks into concentrate production from Quellaveco. And I'm going to come back and talk about Quellaveco in a little bit more detail later on in the presentation. So I'm going to save the cartwheels for then. Panning out a little bit. And despite plenty of uncertainty and volatility in the macro world around us, we do indeed remain very positive in medium to longer term about the fundamentals of the metals and minings business. And everything that these -- that we produce and how we do it, I believe we are very well-positioned to grow value in our business over the next several years. Now as I said, safety is top of mind and that we are always driving to zero harm. And we're looking at that through the lens of every single one of our employees, of our contractors and their families. And with that, I'm really, really sad to report that we had one fatality during the course of this year. I also hasten to add that we increased the number of fatalities that we recorded for last year because of an incident that occurred in our PGM operations in November of last year where a colleague tragically passed away this year from those injuries. After many years of continuous improvement in our injury rates, it's clear that we've plateaued. And I'm sure that COVID has had a role to play in that, but that's not good enough for us. This is obviously due to the fact that we've got these disruptions that I spoke about earlier that we've had to change the way we plan, that we've had to change the way we operate. But we must reverse this trend and it's a focus that's not only mine, but all of the GMC and all of the senior management in the company. More pleasingly, we have recorded zero new cases of occupational health issues in half one. That's a first for us in fact, and we're determined to try and keep it there. We will continue to improve both our work environments and the controls that we have in managing those work environments. The hard work that we've put in into controls and management is now also reflected in the lack of the fact that we've had any Level 3 or above environmental incidents. So again, a very pleasing outcome, and a recognition of the quality of the work that's gone into achieving that. Looking at the key components of our sustainability performance. For both energy and greenhouse gas emissions, our half one performance was mainly due to the lower production levels in steelmaking coal. Now we continue to make progress on our longer-term targets but I'm going to come to that a bit later. And as far as the Social Way is confirmed -- now this is a little bit of a complicated story on the right-hand side or it looks complicated, but we've actually made really, really strong progress in terms of the rolling out and the implementation of our Social Way 3.0 management system. This is a much higher bar than we've had anywhere in the industry. And we are making really good progress in rolling that out. We measure our progress annually. So there's no real -- or there's no half one number for you to compare here. But the 49% implementation of the foundational requirements that you see shown on the right-hand side of this picture is already a significant improvement on the 96% that we reported out in 2019 against our old Social Way. So Social Way 3.0 is a bar higher than Social Way 2.0. So it's a continuous improvement not only in the way we implement, but how we think about what it is that we want to implement to. So that wedge on the right-hand side of that picture just shows what we're expecting for the outturn for the full year. The Social Way program also underpins a number of our very ambitious 2030 sustainable mining plan targets. So, for instance, we aim to create five jobs off-site for every one job that we have on-site. We also are looking at things like ensuring that the schools that are within the area of influence around our operations are performing at the top of the league table. We are I believe and we want to continue to be the partner of choice. Now looking at the operating conditions in the first half. A number of external challenges held us back particularly in quarter one. None of these are going to surprise you. But in aggregate they all had a meaningful effect on our performance. We have been working through these and I'm glad to see that we showed some improvement on that in quarter two and still further momentum into the first early weeks of quarter three. So we are now expecting a much stronger second half year performance from an operating position particularly. Now as I mentioned, we are getting better at learning how to operate as COVID becomes endemic. Rainfall is absolutely a regular feature of our first half of the year always, but the extremes that we saw in quarter one of this year outpaced all reasonable forecasting ability that we had. We hope to be through that now and for the second half, albeit, conversely hoping for a little bit more rain in fact and snow in Chile. And we've actually had a decent amount of precipitation there in the recent weeks. So hopefully that bodes well for quarter four of this year for our copper operations. Supply chains and inflation, I'm not really going to dwell on that. I think you know that story very well. But there are -- these are going to be a feature that sit with us for the time being and we're working really hard to mitigate what it is that we can control in that. Weaker producer currencies have helped a little bit in terms of helping us on unit costs although that's not what we're looking to rely on. Again beyond the current challenges I still see an extremely positive outlook for the metals and minerals that we produce. Stephen is going to take us through shortly the detailed numbers. But as a summary, EBITDA of $8.7 billion and an EBITDA margin of 52% I think is a testimony to the quality and the diversification of our portfolio. It's worth standing back and just pausing to remember that $8.7 billion is indeed our second-highest EBITDA for a half year, and a really good outcome even though as Stuart said, we all believe, it could have been better. Production was lower in the first half compared to the same period in the last year. And we did see an improvement during the second quarter, and as I said expect that momentum to carry through into our second half output. Unit costs were impacted by a combination of lower volumes and cost inflation. And safe and stable operations are therefore the number one and the number two priority for us as a management team. We really are focused on that. I'd like to just briefly step through, the performance and the highlights of each of our businesses in turn. De Beers great performance there. Demand recovery very strong especially in the US and we increased production to reflect that demand, rough prices are now up 17%, since the start of the year and in fact 45% since the lows of COVID. We are of course keeping a really close eye on the macros here and the impact that that may have for us on demand of polished. The Russia-Ukraine war has indeed accelerated the focus on provenance and traceability. There is no doubt about that. We are seeing that and feeling that in the market today. Now, you've heard about our proprietary Tracr blockchain program that is designed to offer a very clear solution in terms of the tracking and the tracing and therefore the provenance of our polished diamonds up to – or from 0.3 of a carat. So, relatively small and we'll be able to put that program on steroids now and talk to the consumers in the context of what they've seen to find most important today, and that is to ensure that they have a diamond from a good source and produced in a meaningfully sustainable way. I believe that, that remains a clear differentiator for De Beers in Anglo American's portfolio. At copper, the team did great work there in mitigating the lower ore grades and the water constraints, with production tracking in line with our plans for the first half. Decent amounts of snow as I said are now falling in the Andes around Los Bronces. So I think that's great news. And hopefully, that is going to play through into our productive capacity later on in the year. We've also come up and seen some really encouraging results on the dry stacking of tailings technology that Tony and the team have been trialing at El Soldado. The early results there would indicate that we could recover as much as 85% of the water that is trapped in tailings. So you can see how important that is particularly in water-strapped regions, and in a world that is looking to minimize its use of natural resources. The Los Bronces license rejection was indeed disappointing. But we do remain quite confident that we will get a pragmatic solution there through the process that we're going through now, and the outcome there will be beneficial to all of the stakeholders in the country. Nickel continues to perform well. And at our PGMs business, we had super results from Unki and Mototolo, which were slightly offset by the impacts of weather in the first part of the year at Mogalakwena. We are in the process now of building out greater operational stability particularly at Mogalakwena. This really means, we're pushing the development out to match the production and getting a stable access to available ore. Processing performance has been really good, but at more normalized operating rate now given that we've crunched through all the inventory that was created when the ACP went down the year before last. I'd also like to commend the team there for an incredibly successful job on their wage negotiation agreements that were settled with our major unions. That was a very, very good outcome for all the parties involved. And there was no impact on production at all during the course of the negotiations. Furthermore, what we've done there is managed to land a five-year agreement with the unions, which is pretty benchmarked in the context of that part of the world, where three years are much more of a norm. So I think really good performances around in terms of diamonds base metals and PGMs. Not quite so good, I'm afraid in the bulks business. So we had the weather challenges particularly in the open pits in both iron ore and steelmaking coal at the beginning of the year. But we also had a blasting misfire incident at our Kolomela mine. And that's taken us pretty much the best part of three months to work through. We're almost done with that. But as you can imagine once you've had the incident, which was regrettable in the first instance we had to take all care to ensure that we managed to do the clear-up of that in such a way that nobody was hurt. Anyway, that's almost done and we're expecting that business to get back to normal operating levels as quickly as next week. In steelmaking coal, we are now really pleased that we have got the three longwalls, up and running again. That's the first time since early 2020 that we've had three longwalls operating in that business. The priority there now does remain the safe ramp-up. So what happened post the inquiry and post our own analysis of the event a couple of years ago, we've had to redesign not only some of the technologies that we use to manage strata and gas, but also some of the operating procedures. So, it's a bit like a project now. It's in ramp-up. We've got new limits. Those limits of operational control are slightly lower than what we had going into the situation two years ago. I am very sure that by the time we get to those limits and we stay there safely we'll find ways to optimize them and move our production up even further. But we are now expecting a significantly better half two. And with that, Stephen, I'll hand over to you and you can take us through the numbers please.
Stephen Pearce: Thank you, Duncan and good morning to all. So, key themes I'd like you to take away today operational performance. As Duncan already touched on our focus remains around delivery of volumes safely. It was slightly more challenging through the first half with weather supply chains and COVID-related impacts, but we know what we have to deliver in the second half. Two, returns to shareholders. Really pleased to maintain our 40% through-the-cycle dividend. And three, the strength of the balance sheet. Investing for the future both in terms of value-driven growth but also positioning the portfolio for the demand themes that we see ahead of us. So, turning to the first half performance. EBITDA of $8.7 billion a good result, underpinned by robust pricing, particularly through the first quarter. That translated to an EPS of $3.11. The operational recovery in the second half should mitigate some of the unit cost pressures that we saw in the first half. And we finished the half with net debt of $4.9 billion. So just touching on the contribution from the different businesses. Diamonds strong operational performance and noting that we increased our production guidance last week. A good cost performance as well that translated into a $0.9 billion EBITDA for the half. Strong margins at 53% from the mining activities and a very healthy 12% margin from the trading activities. As Duncan mentioned, we'll keep a close eye on the global macroeconomic trends that we're seeing. In copper, we were always expecting a tougher year with lower grades and the water challenges at Los Bronces. But the team have done a good job. We've had some significant snowfall and rain in recent weeks and we expect to see an uptick of volumes through the second half. We are feeling inflation effects probably more noticeably through the Latin American operations, but we have also seen significant weaker currencies helping to offset that impact. So, moving from too little water to too much water at PGMs, heavily impacted Mogalakwena in Q1. A good basket price helping to drive that strong 55% margin. In bulks, wet weather impacted us in both South Africa and Brazil. But at Minas-Rio through May and June, we've posted some really strong numbers. So, good momentum as we come into the second half. And in steelmaking coal as Duncan touched on we're really in ramp-up mode in those operations. So the priority is safety and stability. But as we settle into that rhythm from the production from each of the three longwalls that drumbeat should simply feed through into the financials. So, overall a decent set of numbers in the circumstances. So, looking at the drivers of EBITDA result. While prices were robust for most of the first half and in many cases remained above long-term averages, they were down on the record prices that we saw in the first half of 2021. That half one 2020 run result of 12.1% -- lots of 2s and 1s in that sentence, was our highest ever for the half. And a reminder that we had some assistance from the rundown in that period of the PGM inventories that we built up through the ACP are coming back online. The $8.7 billion that we've delivered is the second highest. So, work to do on the operational side, but all in all a good outcome. So, let's look at unit costs. I know there's a lot of interest in unit costs this reporting period. But breaking that down, volumes represented 12% of the 18% impact that we saw for the half. So two-thirds are from lower volumes. Now, we expect to see those improve and that's one of the things that is in our control to drive through the second half. General CPI increases across our geographic footprint added 7% and a further 6% from above-CPI inflation input costs. And that's particularly from things like fuel, steel, and COVID impacts on labor. Now part of that inflationary environment has driven up higher commodity prices. And as we noted last year, that benefits our revenue line quite significantly. Of course we've seen weaker producer currencies and that helped offset, particularly some of that CPI inflation and that was noticeable in South Africa and Chile currencies in particular. So, we quantified and had a good stab at the impact of inflation when we updated our guidance back at the end of the first quarter. And it's really been pleasing to see that even though things have deteriorated since then I think in terms of economic conditions and inflation we've really been able to hold most of our guidance for the balance of this year in terms of anticipating what we thought was coming. And I think particularly with the volumes coming back in the second half, should help ease that inflationary pressure -- pressure. Excuse me. So turning to the balance sheet, CapEx was $2.6 billion for the half. It was up on last year, reflecting a rollover in spend a little bit from 2021, and a tick-up expected in our sustaining capital spend. So we are seeing some of that usual seasonality that we see across the year. We're always traditionally a little bit second half weighted. But in the second half a couple of programs and projects just to call out for you. So the Polokwane smelter, rebuild in PGMs will happen pretty much all within the second half. We'll see SIB and development spend tick up in the steelmaking coal business as each of those longwalls come back online and we reestablish that rhythm of development in advance of production. And we'll also see a higher spend from the Collahuasi desal plant. The start of that project was a little bit delayed just in receiving the final permits to get the construction happening, but we're now progressing strongly with that project. And you'll see that reflect in the second half numbers as well, so no change to the full year guidance on CapEx. So, on the balance sheet, we started the year with a balance sheet in really good shape and it allowed us to announce that special dividend at this time last year, and that was paid in May. In February we also wrapped up the tail end of the buyback that we announced at this time last year. So a small increase in net debt to $4.9 billion and that was largely driven by a $1 billion build in working capital and that was largely in inventory. And that was across PGMs De Beers and copper. And particularly in PGMs it reflected the higher purchase or POC concentrate that we also put through in our refinery in PGMs. Balance sheet remains strong, flexible and supports our program of disciplined investment in growth through the cycle. And finally we are very pleased to announce a $100 million 10-year loan agreement with the IFC in the half. It's linked to the delivery of sustainability goals that are integral to our sustainable mining plan in South Africa, and they're about getting our host community schools within the top 30% of state schools nationally and creating or supporting three off-site jobs for every on-site job by 2025. This was the IFC's first such loan in the mining sector, and the first in the mining sector globally, that focuses exclusively on social development indicators. So great work by the treasury and sustainability teams in getting that done. Now we pride ourselves on the contribution that we make to our host communities and continue to make significant contribution amounting to $3.5 billion for the half. With Quellaveco ramping up, that number will subject to pricing increase through the second half and into 2023. A range of factors are influencing government tax policy right now. Budgetary pressures in some case and politics in others are driving governments to raise more tax from sectors that have seen increased profits in recent years, such as mining. In many cases, both of these factors are at play regardless of the economic and social contributions made by these sectors throughout the pandemic and over the long-term. In the first half, Queensland dramatically increased their royalty rates. As a result, the government take is forecast to increase from around 48% to around 59% in 2023 at current prices. This has a significant impact on the competitiveness of Queensland as a destination for long-term investments, especially as the change was introduced without any consultation with industry. The Chilean royalty outlook remains uncertain. And while that passes through the various approval stages, although, I do note we have a tax stability agreement there until the end of 2023. As you would expect, we're actively engaging with a full range of stakeholders ensuring that they recognize the full value that we bring which has amounted to more than $12 billion in Chile, over the last five years. Mining is a long-term industry, requiring long-term capital investment and commitment. Investment decisions are made taking into consideration existing social, political and legal frameworks. When changes to these frameworks are considered, we support a transparent debate based on the facts in order to make sure that the economic engine of mining is not damaged and is nurtured for the long-term benefit of the country. So I'd like to recap on our performance against our capital allocation framework. So cash generation of $2.4 billion funding sustaining -- after funding sustaining capital. The 40% dividend payout of underlying earnings amounts to $1.5 billion declared for the first half. And annualized this would give a dividend yield of approximately 7.5%. We also then allocated $0.8 billion to growth capital. We remain committed to capital discipline. A strong and flexible balance sheet is paramount in order that we remain resilient to the external environment and retain optionality to invest in growth. So a strong balance sheet with 0.3 times leverage at the end of the half. We offer an attractive through the cycle dividend payout of 40%, while also delivering meaningful growth over the next decade and with 90% of our growth capital allocated to future enabling projects. And the quality of our growth pipeline means those projects also add incremental margin, providing the group with a greater than 45% EBITDA margin using long-term consensus commodity prices. And Quellaveco is a great example of quality, low-cost volumes and the benefit of being able to make those commitments through the cycle. With that, Duncan back to you.
Duncan Wanblad: Thank you Stephen. And in this section, I'm going to talk us through now the other two priorities that I had on my first slide, which was about our progress towards our sustainability targets and the delivery of our organic growth pipeline. So to pick up on Stephen's favorite theme of balance, I also look at balance throughout the whole of the portfolio and how we're setting ourselves up both from a commodity perspective and from a geographical perspective. And the vast majority of our portfolio is now in fact future enabling products, and thereby expose us to those very key long-term demand themes that I mentioned earlier, primarily those of a cleaner a greener and a more sustainable world, a world in which the population continues to grow. And that population needs homes, it needs food, it needs transport and it needs a decent quality of life. We've also have this geographically diverse footprint as I said and we will diversify that even further with our growth pipeline. And with that footprint and history, I think we are an experienced operator in these jurisdictions and in jurisdictions like these. And that provides us with a really compelling advantage I think personally and it comes to -- when it comes to accessing and accessing these ore bodies that will supply into those demand themes of the future. As I've said, notwithstanding, the near-term economic uncertainty, we do remain extremely confident in the medium to longer term demand outlook for the industry and for our business in particular. As you know but many across society really don't seem to appreciate this yet, decarbonization of our energy and transport systems will be highly minerals and metals intensive. So a great example there is the often quoted incidence of electric vehicles requiring as much as three to four times the copper than a standard internal combustion engine. Now what really doesn't seem to be appreciated is the pace that this transition is going to need to be executed against to rapidly scale it up as well as to help bring and keep new technology costs low and competitive. That's not currently reflected at all as far as we can see in the world thinking about either supply or the pricing of these metals. Again a really simple example. So we estimate that we would need another 17 million tonnes of copper by 2040, just solely to facilitate the energy transition in key sectors. So by our math that's another 60 Quellaveco-sized copper operations. And I'm not seeing them coming forward. I'm not seeing them being spoken about and they certainly haven't been committed to in any meaningful sort of way. So if you think about how long now, it takes to get a project approved and get a project executed then it's going to be going some to meet just two degrees of climate change temperature rises by 2050 rather than the 1.5 degrees C that the world is aspiring to. Now we know that substitution is going to have a huge role to play here; thrifting, scrap all of that stuff. But for sure the lion's share of the supply of metals is still going to come from primary sourced material. And that supply is challenged. So I think I've spoken about this before, but from a geographical or geological point of view rather, the mines are getting deeper, the ore is harder. It's, therefore, more difficult to process. It's more difficult to recover. And we can see that supply is coming from more and more remote locations. So supply chains infrastructure et cetera et cetera is also challenged. Let's add to that the issues that we've seen developing in the last few years around water scarcity, and our responsibility to reduce our carbon footprint and to live up to the promises that we make to our host communities, and as I said the length of time it takes to get these new operations up and on their feet all in a world where there is ever increasing political and social uncertainty. Projects that used to take around 10 years from the time that the first discovery hole presented an opportunity to full production are now probably taking much closer to 20 years to get delivered. So if you run the math through that that sort of puts us out at 20 -- at the outer edge of 2040 to 2050 to get to a 1.5-degree C world. As I said at the beginning my third priority is delivering our sustainability ambitions. Third only, by time and not by importance. We have to look at this through the lens of the mining industry being absolutely, a part of the solution here. Mining is the enabler of this transition, to carbon neutrality. And because we are the enabler, that behooves us to be even more responsible with, what we do and how we do it. In our case, we launched the sustainability mining plan or the Sustainable Mining Plan, back in 2018 and that incorporates a series of very challenging, very ambitious goals and targets. And we put that at the heart of all of the decisions that we make in the company, both big and small. These are not only ambitious in terms of the -- of carbon reduction, but also in terms of water usage, biodiversity, our engagement with and effectiveness of creating enduring value, for local communities and all of our stakeholders. An integrated and holistic approach is absolutely fundamental to being successful in this space in my view. Targeting carbon neutrality for our operations by 2040, pretty ambitious absolutely. So is reaching a 50% reduction in our Scope 3 emissions. But in fact, we could probably get to 80% reduction in our Scope 3 emissions, if other sectors particularly the steel sector, were on the same sort of pathway that we're on. So the point of all of this is, we're probably not going to be able to do this all on our own. Partnerships are going to be really important in terms of, how we get there and how quickly we're going to get there. I think that it's okay to have these ambitious targets. And it's okay for us, to play a leading role in convening all these partnerships to come up with solutions that are going to work in the long term. So it's not new, but I think it's really important for us to remember and as an industry to advocate for. Mining's challenges, whether they are operational, whether they're environmental or whether they're social, we believe create the perfect environment for innovation and therefore, with that a whole lot of opportunity. Future smart mining has absolutely galvanized us, in terms of developing innovative mining methods from technologies. And these make our operations safer in the first instance, very important that that was an objective. But they also help us overcome those challenges that I spoke about a little bit earlier, in terms of water availability, lower ore grades, increasing energy requirements and in terms of reducing our overall environmental footprint and in reducing capital intensity and therefore, operating costs in the long run. Now nuGen, is our most recent success story of this innovation program. In May, we launched our nuGen Zero Emissions Haulage Solution. And for those of you that might have missed it, that is a 2-megawatt hydrogen-powered ultra-class mine haul truck. That's 220 tonnes of truck, which when fully laden will carry another 290 tonnes of hard rock or waste, in real hard mining conditions. This is part of an end-to-end process, which incorporates both the production of green hydrogen and the refueling solution and infrastructure that's required to service it. It is a world first and I reckon, probably at least two years ahead of anything else in this space. So what does that really mean for us, as a business or the key benefits of that to us would be for every conventional truck that we have, we would reduce 3,000 liters of diesel per truck per day for every unit that was substituted with this. That would then mean, we could eliminate between 50% and 70% of our Scope 1 and Scope 2 emissions at all of our open-pit mines, if a solution such as this was rolled out across the whole of the business. And just making it very real, an example of replacing the entire fleet at Mogalakwena, would be the equivalent of removing 80,000 cars off the road. So this is a proof of concept that we are now developing further and it's being tested out again at Mogalakwena, with the rollout of our first unit possible by as early as 2025. You will have heard we also recently announced that we're bringing together nuGen, with our First Mode partners who were partnered with us in the development of this technology and in the creation of nuGen.  And the idea here, is to accelerate the development and the commercialization of this technology and do it in a way, that it extends to beyond mining too. This will allow strategic third parties to co-invest and that will help us to drive scale, and support broader decarbonization objectives that will indeed benefit the potential of this clean technology. It also means and Stephen is delighted by this, that we won't need to put our full balance sheet to work for all of this technology. There are others that will come into this game with us, help us accelerate it and help us develop it.  Assuming that we progress as planned, we will replace our global fleet, which is currently in the order of 400 trucks with hydrogen or hydrogen equivalent-type vehicles, over the next decade or so. Now our technology is really exciting, and something that the whole sector is looking at. Where I believe we are different, is in our approach and in how we think we play a greater role in society, as a result of the work we do in mining. In March, we announced a groundbreaking partnership with EDF Renewables, to develop a regional renewable energy ecosystem in Southern Africa and that will provide us with 100% of our energy requirements there through renewables. That would be a 3 to 5-gigawatt new energy capacity that's created in South Africa. Again, a hugely, hugely ambitious piece of work and not one that is completely within our gift to deliver alone, but a great example I believe of the difference that we can make when we think about how we can leverage our own capabilities and the convening power that we have to try and resolve some of the world's most difficult blockages. What we're hoping to pull off here is construction of on-site solar plants and off-site wind farms and these would help us to reduce our Scope 2 emissions and provide the foundation for green hydrogen production. And that would not only power our haul trucks, but the other kit that we have on the mine and potentially create many other economic opportunities in the region, while also helping to support the energy requirements of the whole country, improve the resilience of the local grid and drive a wider decarbonization of the economy as a whole, which we know today is completely reliant on thermal coal. And this is more than just about energy. This could unlock, as I said, much bigger opportunities in terms of hydrogen corridors, transport routes, supply chain infrastructure that would serve not only us, but South Africa or Southern Africa really well. That is what big mining companies of the future should be doing and that is what I would like us to continue to be in the forefront of. It is a big ambition, but we're up for it. Now to my fourth priority of delivering growth. I am delighted to say that two weeks ago we produced our first concentrate at the Quellaveco copper project in Peru. We've been commissioning it for many, many months now and we are now at the point that really matters. The money is coming out the other end of the plant. The project is on time and it is on budget and with four years, two of which are -- were global pandemic years. So what Tom and the team did there was quite exceptional in terms of the management and the movement of vast numbers of people to deliver this project on time and on budget. It is a truly, truly modern mine and fits firmly with our future smart vision of mining technologies. We have in there elements of advanced process control of value-based ore control. It also contains elements of the digital mine, digital twins. It has an integrated remote operating center. It utilizes the full effect of our most modern data analytics processes for process optimization. And by the way, the trucking fleet is fully automated. And that's a first for Peru and may very well be a first for that region at large. We're now in the process of commissioning the first line and the processing plant will take about 12 months to fully ramp up from this point, following the construction of the second line, which we expect to be completed close to the end of quarter three of this year. And now that we are in the commissioning process, we are working to convert our installation licenses into operating licenses. It's a very normal process in South American countries. You're provided with an installation license to start with. You then build the project. You then go through a process of commissioning and testing that project to ensure that it is built as it was licensed to be built and it is performing as it was licensed to be performing. And then the authorities convert your installation license into an operating license and we're expecting that also in quarter three of this year. And it's at that point that the shipments of concentrate to our customers will start. Now, to get us to this point took an incredible amount of work, not only by Tom and the team in execution, but in terms of how we develop the project upfront to make sure that we're sufficiently derisked from an execution standpoint. So we approved the project back in July of 2018, after completing no less than four feasibility studies with a significant amount of detailed engineering work under our belt. So that's a pretty techy point, but it's a really important point and it's a differentiator in terms of the way we think about projects. At the time of approval we had 50% of the detailed engineering of this project done. And in fact, in some of the very high-risk areas, like the foundations under the SAG mills, we had 80% of the detailed engineering done. So what I hear you say, well, normally projects of this scale would be approved with somewhere between 20% and 25% of the detailed engineering. And when you have that information, your ability to manage the risks in these environments is significantly different. And that's how we chose to do it and that's how we'll continue to do it. In addition to that, we took our time on social issues and we made sure that we listened to our communities. Now I'm very clear that a dialogue is not made up of two monologues and we took the time to hear what the communities' issues were what they wanted out of the project and we reacted to that. That dialogue table process that we had was absolutely a game changer for us. It focused on the social mandate for this project. And one of the key outcomes of that is we provided a much cleaner and a much more stable water circuit that provides water now for 365 days a year, rather than seasonally, for this community. The mine itself will produce 300,000 tonnes of copper equivalent over the first 10 years and a very competitive cost. It's a long-life asset. It was approved with a 30-year life. And during the execution period, we managed to increase it by another six years. So absolutely testament to the work that Tony, Matt and the team do as part of our technology and operations excellence group. We feel that we have been successful with Quellaveco. It is the template that we would like to follow and take forward on other projects, such as Woodsmith. We have the same person, Tom McCulley, who led us through the execution and the late stages of the development of that project now, running our Woodsmith project. We will finish that with the Woodsmith project review and get more of the detailed engineering done that I mentioned earlier and then get the shaft sinking underway and come back to you early next year, with some more details and an update on our progress there. Stepping back now, and looking at the portfolio of today and the growth that's coming. We have strong positions throughout our diversified portfolio that play into the demand trends of decarbonization and a growing consumer population. De Beers is the largest diamond producer by value, with considerable sustainability ambitions, reflecting the ever-increasing expectations of our consumers. We have a high-quality copper business, with great organic growth optionality, still that should keep us at the level of around one million tonnes per annum of copper production. We are the leading producer of platinum group metals, which are critical to continuing to improve air quality over the world. And finally, within our bulks businesses, we supply premium ingredients to the steel sector, who increasingly need those in terms of managing their own emissions down. Our focus is on maintaining a strong portfolio. The most effective use of capital is through expansions of existing assets. That is then supplemented with attractive high-value greenfield options, as well as continued investment in and focus on our discovery pipeline. This is the foundation of our organic margin-enhancing volume growth potential of around about 30% over the next decade or so, more than one-third of which is now going to come from Quellaveco. In summary, you'll be pleased to hear and I'm running out of breath, the world we are living in is changing and we are well positioned to deliver into that. We have set this business up to be resilient, to be disciplined and to be opportunistic. We have the assets and we have the capabilities to deliver sustainable returns. Right now, though, our feet are clearly firmly on the ground for the tough macro outlook in the near term. I want us to be ready to come out the other side of this period, even stronger and to deliver the metals and minerals that the world, so clearly and so urgently needs in the cleanest and the most socially responsible way possible. And with that, I'm now very happy to take questions.
A - Duncan Wanblad: Let's start with you Mr. Rossouw and I think we'll move around. We've got a lot of people on the line. So at some point, we'll take some questions from people on the line too. Would you mind saying, who you are so that the people can hear who you are too?
Ian Rossouw: Thanks. Ian Rossouw from Barclays. Two questions. Just on the steelmaking coal business, you talked about these new limits you've set. And I recall from a few years ago, you had ambitions to get to 30 million tonnes and pushing that sort of longwall hours to 100. How does that impact this -- these new limits? How does that impact that sort of ambition you had previously? And then just secondly on Woodsmith, you mentioned that I guess you want to complete -- I guess progress the detailed review much further. And you mentioned that the shaft sinking I presume hasn't started yet, which I think is different from previous plans. I just wanted to get a sense of how does that delay the sort of original time lines we had from Sirius on the project. Thanks.
Duncan Wanblad: Okay. Thanks, Ian. So, on the steelmaking coal question, our ambition is still to get those longwalls to 120 hours a week. What's going to happen is that that's going to plateau off a little bit, as we get these new operating conditions bedded in. So really what we've got is new criteria around gas and strata control. That means that we have to stop a little bit more often. So we're not -- our uptime isn't as high, as it was prior to going into this period. We have to then get -- collect and release the gas and we've got to do that in a really concerted way. We will get to a point where that becomes a routine piece of work and we will be able to optimize it. So, we absolutely have not given up on our ambition to get those longwalls to 120 hours, but probably another year or two before we could get there, while we bed ourselves into this new regime. On Woodsmith, look I really don't have a lot more to say than what I said in the presentation. This is an incredible project, right? I mean we bought this because we were deeply compelled by the ore body. It is one of the most magnificent ore bodies that I've certainly come across. And our ability to leverage our technology capabilities into it, our operating management capabilities into it, were absolutely perfect. On top of that, we think that the product is perfectly placed for the world that we're trying to service with our business. And actually, given what's going on in the Ukraine at the moment I think it's even better in terms of where this is going to land. And we have all the marketing and market development capabilities to deliver that.  All of that said it is really important to configure this project right. This project is going to be around for at least 50 years and we want to be sure that we get it right in every single way. So that is the work that Tom and his team is doing. As part of that detailed engineering that I mentioned that we did for Quellaveco, it means you actually have to get detailed information, right? Otherwise, what you're doing is just populating your models with a whole lot of gases. And part of that is the shaft sinking. Now we have started the shaft sinking. As you know we're well through the tunnel and the guys have started to -- I think they're probably a couple of meters into the shaft at this point in time. We need more data on that and that's what we're busy collecting. When that's all done, we'll finalize the configuration of the project. We'll work out the most effective way to allocate capital to it and then we'll bring it back and let you know where we are.
Bob Brackett: Yes. Bob Brackett at Bernstein. You mentioned coming out through this period stronger. You also mentioned longer term the scarcity of organic copper projects. To what degree would you use the current cycle to be strategic particularly around M&A?
Duncan Wanblad: Yes, a good question. Look I'd like to say that actually our approach to this probably doesn't change at all. We set the business up to be pretty resilient and we set the business up to survive through bottom of cycles. And therefore when we designed our capital allocation process -- progress or process it was designed with balance in mind. Now -- this is now becoming a bit of a hackneyed phrase I'm afraid still but it is really that.  So we will always look very carefully at the opportunities that we have organically as well as inorganically and then decide where best or how best to allocate capital to those opportunities. Now in times where margins are squeezed because prices are coming down and costs are going up and so on, all that does is affect the timing of how you're thinking about these things rather than the particular philosophy of what you're doing.  And we've set ourselves up really well to be able to do this. We cleaned up the portfolio in terms of assets at the end of the last half, none of our assets were dragging at all. Every single one of them was washing their own face that's part of what we want to do. And our balance sheet is strong. So, we wouldn't opportunistically flick from one mode to the other mode. Both modes are viable and valuable to us. We know what we've got internally that's a really differentiated and healthy pipeline and that still remains our focus today. Sylvain?
Sylvain Brunet: Sylvain Brunet with BNP Paribas Exane. Three questions for Duncan, please. The first one is on logistics in South Africa and the iron ore railway line. Wondering what Kumba could do on their side to try and make the ore line reliable more reliable? My second question is on safety. Understand the facility you referred to at Amplat [ph] was an independently managed operation.  As you're taking over is, there an opportunity to review across the portfolio? These are not fully managed operations perhaps. And my last question is on potash. You hinted at the situation in Ukraine and Russia opening new opportunities interestingly. I've seen this ICL deal with Indian Potash lately interestingly on -- with deliveries in 2026. Have you also received expressions of interest from India that would be trying to diversify away from Russia and Belarus on '24?
Duncan Wanblad: Okay. So taking them in order Sylvain, thank you for those. Logistics in terms of Transnet in South Africa it is concerning in terms of the quality of service that we are getting from Transnet for our iron ore business. That said [indiscernible] and the team are doing an incredible job of working with Transnet, that's our style, that's all we try and do is we try and solve problems together with our partners and our service providers.  And there's a lot of work now going into not only helping them with particular areas of maintenance maintainability operating models etcetera, etcetera, but also in terms of working out with others as part of our user group, how best to think about the operation of that line. So we're thinking about partnerships at very senior levels and very collective levels. And that's very early days at the moment but very much an engaged process between the team at Kumba and the team at Transnet with quite a lot of senior political support for what it is that we're doing. I think that's important to add. From a safety perspective the fatality that I mentioned was Gavin Feltwell [ph] in our Australian business. So it was an owned business. But we did recently also have a fatality in Modikwa, which is the non-managed joint venture that you speak about -- not non-managed, I'd rather say, independently managed joint venture. Is this an opportunity to have a look at the corporate structure? We always look at the corporate structure. Our -- what we bring is a real influence in terms of management and operating capability. We would like to be sure that to the extent that we don't actually manage those businesses, those businesses are managed in a way that we find completely acceptable to ourselves. So we are not aggregating at all our accountability in terms of the input that we have and the role that we play in ensuring that those operations are as safe and are as productive as ours. Obviously, if I had a clean sheet of paper, I might come up with a different answer, but we've got what we've got. And I am happy that the focus that we're able to leverage into those operations is appropriate for the ownership that we've got. Now on potash, it's a really interesting space to be in at this particular point in time. We are not in potash, of course. I think it's very important that we draw the distinction between polyhalites and potash. But there is clearly a recognition that the world is -- could very well be tight fertilizers for a long time. And there is quite a lot of interest; India is one of those parties that is interested. I can't really say more than that. I say, we keep going that way.
Richard Hatch: Good morning. Richard Hatch from Berenberg. Two questions. Just to ask a bit more on the steelmaking coal business. Can you just talk to us about Moranbah-Grosvenor ramp-up how that -- how we should think about that over the next sort of two, three years? And just following from Ian's point I see that the 2024 guidance is 24 million to 26 million tonnes for steelmaking coal. I mean can you push it further, or is that a fair number to get to just with where you want to take the business? And then secondly just on Chile and permitting. You talked to it in the -- in your comments. But I mean what are you thinking that you're going to have to do differently there to try and make more progress? Because I think we've had some challenges at Bronces and then there was a smaller permitting issue also that I think hit the news a couple of days ago. So it'd be interesting to hear what your views are there and what you're doing to address that. Thanks.
Duncan Wanblad: Thanks Richard. Moranbah-Grosvenor the guidance that we've given, I think, is appropriate to what we know and understand in that business today. So, the 24 million to 26 million reflects, a little bit conservatively perhaps, but what we want to get to on a stable basis before we really start pushing that business. So I wouldn't change anything from a guidance point of view at this point in time. But as I said earlier to Ian, we really do have an aspiration to build that business to the full productive capacity of the installed kit, but it has to be able to be done safely. And unless, we are completely convinced that that is going to be the case under the new strata and gas control region, we're not going to push it. So, to be very clear. What we can do in terms of that guidance is we are convinced that we will do it safely within that and that's what we're going to do. But as with all these sorts of things we'll find heaps of ways to optimize that over time, but I need to give the guys, time to get it up and understand what this operating regime looks like, get really comfortable in doing it and then we'll work out where the bottlenecks are and we'll certainly start relieving those. So, it's no change to that guidance in the next little while. Chile and permitting, and what we would need to do differently, interestingly, I just don't think this is an Anglo American issue per se. If you stand back and have a look at this, there have been eight major permits turned down under the new regime in Chile in the last little while two really big ones Los Bronces being one and six smaller ones El Soldado having been wrapped up in that. Now as with any country that we operate in, we do require a relatively stable environment both fiscally and politically for us to be able to allocate capital to it in a meaningful sort of way. And there is a lot of stuff that needs to happen in Chile for that to be true for us again at the moment. Now we are working as I said with Transnet. It is our way that we don't comment on these things publicly without having had the hard conversations with all the parties internally first. And we are in a conversation with them. We are actually very respectful of the processes. The turning down of the Los Bronces permit was fundamentally a function of the fact that the process itself, ran out of time to evaluate the data we had already provided into it, although, we were asked for that data quite late. And the determination is that because we haven't had time to evaluate this data. But the next step of the process will give that opportunity. And we're very convinced that the work we're doing on that project actually doesn't only have no impact on the environment or a negative impact on the environment, but actually improves the background of the environment. So, quietly confident that we will get through that. But there's a lot of things going on in Chile and that's going to take some time to settle down. And I think that was it. Very good. Myles?
Myles Allsop: Thanks. Myles Allsop, UBS. Maybe a few follow-up questions and a few new ones. But just to be clear with Queensland coal, will you do the debottlenecking project now that this new royalty has been implemented? Now you're paying 60% effective tax, are you going to hold back on that expansion that 4 million tonnes down the line? Then maybe another tax question for Steve around Chile, the latest proposal for royalties. What – in essence the latest proposal, what does that lift the effective tax rate to is your best guess as it stands at the moment. I know the industry is negotiating it down again. And then maybe on diamonds it's the last question, are you seeing any softening in demand given the macro conditions? And are you seeing premium to De Beers' pricing over ALROSA pricing? Is that sort of decoupling starting to happen now?
Duncan Wanblad: Myles, so shall we do the two? And then Stephen over to you on the Chile tax. . Coal debottlenecking, Stephen actually covered it in his bit of the presentation. To the extent that the economics of the project are materially prejudiced by this regime really does change the way we think about the implementation of those sorts of projects. Also we've just spoken about the rate at which we are producing. So the bottleneck probably isn't as close as it was a couple of years ago. So that will play into the decision that we're making. It's just not an automatic go-no-go sort of thing. It has to be right for us under all conditions and we have to do it at the right time. Now might not be the time for that. As far as diamonds are concerned, in fact what we've seen during the first half of this year is quite the opposite of what you suggest. So market's got stronger margins. They've got – it got better in terms of this. Whether that is directly related to Russia-Ukraine that's very hard for us to say at this point in time. What we do know is that the market is valuing products that they can provenance and De Beers is a great solution for that.
Stephen Pearce: Chile tax. It's a complicated one is the start of the answer. So Chile tax has three primary components. So, well potentially now a royalty, revenue-based royalty, a corporate tax and a mining tax. And some of those are price dependent, so it's hard to give you a definitive answer. But in rough numbers, it would take the statutory rate up from potentially about 40% to 42% to 46% to 56%. So possibly about 10% to 15% increase in effective tax rate from what we can gather. From the proposal before the Senate at the moment it's not quite clear how some things would be interpreted. So clearly that's a significant increase in anyone's language and naturally would play into our thinking both because of the change and then because of the absolute amounts as to how we would look to invest capital in the country in projects. So that's the same for any country, as I said in my speech that stability in those things is important. We do have a stability agreement in Chile until the end of 2023, so it wouldn't impact us immediately. But it would probably take that long to be implemented completely through the statutory processes. So we are engaging with the parties. At least we have the chance to engage with some of the parties through the process and make sure that they truly understand the facts around how much the mining industry contributes both directly in tax and contributions but also more broadly through the community. And what we've done in Quellaveco is perhaps a good example of what we'd look to do in Chile in terms of automated fleet, hydrogen-fueled fleet. All those things are still yet to come. They will require investments and they will require certainty to commit that amount of capital. So they're all things that play into our thinking as we look forward.
Duncan Wanblad: The only thing to emphasize there is that we are still talking. So the industry is still talking and they still do have a voice. So to be done still.
Patrick Mann: Hi. It's Patrick Mann from Bank of America. Maybe a bit of a follow-up question on the growth strategy. So it seems quite a measured maybe conservative growth approach. And I'm just trying to compare that to your outlook, where you said, you need 17 million tonnes more of copper and 60 new Quellavecos. Should you not be more aggressive or possibly more focused on growth, especially around copper in that environment? And then the follow-on aspect to that comes, where if we do see these macro – these periods where macro is so challenging and we see the copper price come off and asset prices coming off is that not an opportunity? If you really believe in this fundamental structural copper deficit, is that not the time and the opportunity to just be hoovering up the assets that you can? I mean I look at the outlook and for what it's worth we agree with you the decarbonization is increasing metal intensity. But then it's a very conservative growth outlook. So I'm just trying to marry those two things. And it's not just Anglo American, it's the whole industry is kind of saying there are these big deficits but there's no projects to build it or there are no projects to meet it. So what's going to happen? Thank you.
Duncan Wanblad: Yes Patrick. So definitely, the demand is going to be there for these things. What's just not there is the projects of a reasonable level of quality. That does not infer in any way that we should run around hoovering up poor quality assets, right?
Stephen Pearce: It's not about churning with [indiscernible].
Duncan Wanblad: Yes. And I think by the way that is very -- I mean is it conservative or is it disciplined? I think it's disciplined. We've got the strong pipeline. All of the projects that we've got in our pipeline, service these needs and these demands. But, it's about whether those projects can be well executed and whether they're going to be sustainable in the long run, right? They also have to survive multiplicity of cycles that are potentially yet to come. So, it's not so much about being conservative as about doing it right. And therefore, even though we had this full pipeline of projects, when they weren't ready to go, we returned money to the market, right? When they are ready to go and they are going to be right and we are going to deliver them in a way that we know is going to work for us and work for you and society at large, then we'll pull the trigger on doing them. And by the way, that goes for any other opportunities that exist in the marketplace today. So, we've -- we look everywhere. We're very privileged to have this pipeline that we've got. I think it is a differentiator for us. But it's not the only thing we rely on. And to the extent that we find the right thing in the right place, and we can leverage our capabilities on it, and we know that we can deliver it sustainably at the right point in the cost curve in the long run, we would of course look at that opportunistically, which is what I said. But this isn't the time to lose discipline, definitely not the time to lose discipline. But it's less about conservatism, more about discipline.
Stephen Pearce: And can I just state also, the reality of getting projects permitted and through the process we've often spoke about that, but it is challenging and it takes time. And so, it's often difficult just to suddenly sort of click your fingers and bring a project forward two years, because these things just take longer than what a lot of people appreciate to bring through the completeness of a project readiness, whether that be engineering, funding, sustainable mining aspects, and permitting and community issues.
Duncan Wanblad: Okay?
Danielle Chigumira: It's Danielle Chigumira from Credit Suisse. So, I have a couple of questions around emissions reduction. The first is on the met coal business. So on your Slide 24, you've got -- basically got methane emissions flat until 2026 in a period that you're expecting to grow volumes in met coal as per the current medium-term guidance, and the VAM project doesn't come on until 2027. So, if you meet that medium-term guidance, what would stop methane emissions actually growing rather than staying flat? That's the first question.
Duncan Wanblad: Okay. Good question and I probably don't have all the details in terms of the connection to the numbers. But for sure, the development of the project and the emissions associated with that project are accounted for in that plan that we put up on the screen there. The venti air methane project is going on. It is getting traction. We have got the technologies that will work there. What we're trying to do is make sure that we can connect all those technologies together in such a way that they will be safe to operate. So we can collect the gas. There are ways to collect the gas. But control and vent the gas, that's the work that we're doing on now. So, very much that profile will rely on us being able to capture methane in the way that we expect that curve to roll out. Stephen, you want to add to that?
Stephen Pearce: So Danielle, we actually capture a lot of the main gas from the main seams already and that goes through in fact power generation projects on-site. The venti air methane is about the very, very minor levels of methane that are almost impossible to get from the air. And so that's why -- when we expand production from the main gas source we capture. But the venti air methane will only reduce once we implement the technology. Does that make sense?
Danielle Chigumira: Yes, that's useful. Thank you. The second question is around the hydrogen trucks. So you spoke about a rollout there over the next decade. And unlike some of your peers, you haven't given us a target for decarbonizing CapEx. So when we think about the stuff that's in the fence, so the trucks the green hydrogen production, whatever renewable electricity you need for that within the Anglo fence, what kind of CapEx should we be thinking about?
Duncan Wanblad: Look, I mean, so generally, the major programs, the really capital-intensive programs are the ones that we're looking to do in partnership and not all of our own balance sheet. The smaller programs, the 100-megawatt projects, the 65-megawatt projects, et cetera, as we get to the definition of those, we'll announce them. But they're not meaningfully material to the capital that we've already announced. So, there isn't anything to plan and plug into your models at this point in time from that perspective, because we're still developing the go-to-market plan on the very large capital portions of this, so both for the trucks and the energy solutions. Stephen, do you want to comment about what we've got in the CapEx?
Stephen Pearce: So, I suppose -- we've often spoken about encouraging you to think about some of these initiatives, and particularly around some of the technology for existing operations not so much as a cost, because they -- a lot of them are actually NPV positive quite quickly. So some of the bulk ore sorting and the water technology are actually -- they're great for the environment but also great for our business. And they quickly become business as usual in the way we just think and implement capital. So, it's not as if you're retrofitting some of these things. They're just part of what you build as you go forward. But on the bigger projects, perception whether it's cost or value changes quite quickly and can change quite meaningfully over time. And to give you a couple of examples nuGen is an absolute classic example. Yes, it will cost us to transform our fleet. But compared to -- we'll try to time that for a lot of normal truck fleet change-outs. And compared to where diesel prices and those things may go to, it'll be close to washing its face for the majority of the operations. But now that we've combined it with First Mode, well priority for our fleet will be number one, it has the opportunity to in fact then provide that same service and same value to other people and could in fact be a substantial business in its own right. The South African renewable, I would say is the same thing. That is actually strongly NPV positive from day one because we're replacing high-cost Eskom-type inputs. But it also could become a valuable business in its own right, as an energy provider through broader parts of South Africa and Southern Africa than just our own operations. And so these things will change and more and not just be a drag on the business, but actually potentially open up significant other value opportunities for us. And we'll probably pursue a lot of those in partnership as Duncan mentions so that we can navigate our way through achieve what we need to achieve, bring other people to the table, other capital to the table, but potentially create long-term value-driving businesses in their own right.
Duncan Wanblad: So we definitely don't see it as a cost yet.
Stephen Pearce: We'll go from left to right. So can we now go to the phone lines?
Duncan Wanblad: We can. So operator, could you open the phone lines for us please?
Operator: [Operator Instructions] Your first question comes from the line of Alain Gabriel from Morgan Stanley.
Alain Gabriel: Thank you. My first question is for Duncan. Duncan on Quellaveco, your guidance 100,000 to 150,000 tonnes imply a ramp-up to full capacity within two to three months. What makes you confident that this ambitious target is achievable in the context of many of your peers who take up to six months to start up new projects? And what should be done for sales volumes given that you're unlikely to sell your entire production for the year? Thank you.
Duncan Wanblad: Alain thanks. Look, we're still reasonably confident on our guidance that we provided you in terms of Quellaveco for the rest of the year. The fact is we have been commissioning it for quite a long time. So the fact that we made first concentrate probably belies the fact that there were two or three months before that that we had gone through an extensive commissioning process. In terms of the way the plant is performing today, Tom was telling me yesterday that we're absolutely confident of its ability to perform against the guidance. The timing in terms of getting the concentrate to market will be really closely related to the date that we get the installation license converted to an operating license and the logistics of the port towards the end of the year. But as I say at this point in time our estimates are that it'll be early on in this quarter that we'll get those licenses converted and then shipping will start. So we're okay with the guidance that we've provided you for Quellaveco's copper production during the course of this year.
Alain Gabriel: Thank you. And my second question is for Stephen I guess on CapEx guidance. You continue to stand by your $6.1 billion to $6.6 billion range, for the year although your South African subsidiaries have trimmed their budgets and in the local currencies as well. Does this mean that the underlying inflation in the rest of the business is much higher than you expected, or should we prepare ourselves for an undershoot in spending? Thank you.
Stephen Pearce: It will vary a little bit across the businesses. And while we may have some subtle decreases in those, we'll have increases in some of the other ones like the met coal the steelmaking coal business that I referred to earlier. Just to give you a couple of little stats. So last year, we spent -- we had a 43% first half, 57% second half capital split. And this year it would imply, if we hit the range 41.59%. So just a couple of percentage points different from what we in fact had last year in terms of split of spend. And given a couple of the larger projects that we know will come and go or kick in and accelerate through the second half it gives us the confidence in terms of that range of where we'll be.
Alain Gabriel: Thank you.
Operator: And your next question comes from the line of Dominic O'Kane from JPMorgan.
Dominic O'Kane: Hello. Hello, Duncan. Two quick questions. Firstly, on working capital. You've gone through a period of quite significant working capital increases. And now with Quellaveco on stream, is it reasonable to assume as we look forward over the next six to 12 months that we should see a fairly chunky working capital release? My second question is on the hydrogen trucks. You mentioned the program to potentially replace the Anglo fleet. Have you got any modeling on what the PGM loading or requirement for that type of program is so we can sort of have some thoughts on implications for wider platinum demand?
Duncan Wanblad: Hi, Dom. So on the working capital front look the increases that you've seen and Stephen alluded to that in his section of the presentation earlier are predominantly copper diamonds and PGMs. And a lot of that was related to either just the timing of material moving or the cost of those materials that we're putting into the business from a processing point of view. So quite a lot of that was in the purchase of concentrate in our PGM business. So really the fact that Quellaveco is coming on stream in and of itself doesn't necessarily unwind the working capital. Stephen?
Stephen Pearce: Yes. But we will have a subtle build because Quellaveco is coming on stream. So if I had to estimate $3 and a bit hundred million probably building Quellaveco working capital through the second half, and then it should hit a steady state as we start to flow that out through revenue generation towards the end of this year and early next.
Duncan Wanblad: Yes. Okay. And on the hydrogen trucks, Dom just remind me of your question on that please.
Dominic O'Kane: I'm just trying to think about, sort of, broader – obviously, you guys are the pioneers of hydrogen trucks for heavy duty. I'm just trying to think about how you think about the platinum demand from your own program.
Duncan Wanblad: Yes. So look there are a couple of places that PGMs go into in that system as a whole. The first is in the electrolyzers, of course. And then the second is into the fuel cells. Now the demand dynamics around that are not particularly, but not insignificant. So we're talking hundreds of thousands of PGM ounces that would be additional as a result of these two technologies. But these technologies, of course, open up many other opportunities in terms of the use PGMs, but not necessarily a major demand for those metals directly. But not insignificant right, I mean, 200,000 – 300,000 ounces is our estimate.
Operator: Thank you. And your next question comes from the line of Liam Fitzpatrick from Deutsche Bank. Your line is open.
Liam Fitzpatrick: Good morning, everyone. Two questions. One on Woodsmith and then second one on coking coal. On Woodsmith, appreciate you're probably limited in what you can say. But what we are seeing is the projects that are still some way from completion are heavily exposed to inflation at the moment. So given the delays that we've seen how worried should we be about a material overrun? And can you at this stage give any type of ranges to that? And then linked to that in terms of your comments on scope changes and getting it right, were you limited in how much due diligence you were able to do before signing the deal? And what has been the big change following your ownership? And then on coking coal you're guiding mathematically to unit costs in H2, I think back to levels that we last saw in 2019 despite all of the inflation that we've seen since then. Is that realistic? And can you give some color on what's going to drive that over and above the volumes? Perhaps just with volumes but interested in any help on that. Thank you.
Duncan Wanblad: Okay. Stephen will you do the coking coal question for me please? And then on Woodsmith, Liam really not a lot more to say in terms of what I said earlier. Of course, the inflation on CapEx is going to be a thing that we're going to have to consider in terms of the overarching costs of the project the length of time the project takes the period that we estimate this inflation to survive in whether any of that inflation is structurally embedded or not. So these are the kind of things that we would always consider when we look at a major project like that. The only thing I really want to say in terms of your diligence question we were really happy with the diligence that we were able to do given that it was a public offering that was made for that business. And we haven't in fact found out anything that we didn't know about in terms of the acquisition of that project. This is about designing the project and setting it up in a way that we are comfortable with. So it's not the Sirius project that we're executing it's an Anglo American project. And that's the work that we're doing at the moment.
Stephen Pearce: And just on Woodsmith to add a lot of the current spend -- the equipment is already on site. So it's the tunnel borer for the tunnel from port to mine or from the shaft sinking and all of that equipment is on site. So the spend then really is about people time and engineering that's actually happening at the moment. So hopefully when we get to other spend we'll perhaps be in a different inflationary environment. And I was so busy writing those notes down, I didn't listen to the steelmaking question. So could you just remind me what the question there was?
Liam Fitzpatrick: Sure. Just mathematically looking at what you're guiding for the full year and the $160 unit cost in H1 I think it's implying costs go back to where you last were in 2019 when inflation and overall costs were a lot -- lot lower. So I mean how confident are you in getting to those types of levels? And is there something going on in H2 over and above the volume increase, or is it just simply getting the volumes through and that will drive the costs down to say $70 a tonne?
Stephen Pearce: Listen without doubt volume is the major driver that will bring that cost down. Currency, obviously, is something that's feeding into it. Labor markets are tight in Australia, but it's really predominantly volume driven.
Liam Fitzpatrick: Thank you.
Operator: And there are no further questions at this time. I would like to turn the call back over to the presenters.
Duncan Wanblad: Okay. Any more questions in the room? All right. Thank you very much everybody for your time and we're going to end the session now. Okay? Thanks everybody.